Operator: Good day, and welcome to the ICU Medical, Inc. Second Quarter 2022 Earnings Conference Call. [Operator Instructions]. Please note this event is be recorded. I would now like to turn the conference over to John Mills with ICR. Please go ahead.
John Mills: Good afternoon, everyone. Thank you for joining us to discuss ICU Medical's financial results for the second quarter of 2022. On the call today representing ICU Medical is Vivek Jain, Chief Executive Officer and Chairman; and Brian Bonnell, Chief Financial Officer. We wanted to let everyone know that we have a presentation accompanying today's prepared remarks. To view the presentation, please go to our Investor page and click on Events Calendar, and it will be under the second quarter 2022 events. Before we start our prepared remarks, I want to touch upon any forward-looking statements made during the call, including beliefs and expectations about the company's future results. Please be aware, they are based on the best available information to management and assumptions that are reasonable. Such statements are not intended to be a representation of future results and are subject to risks and uncertainties. Future results may differ materially from management's current expectations. We refer all of you to the company's SEC filings for more detailed information on the risks and uncertainties that have a direct bearing on operating results and financial position. Please note that during today's call, we will also discuss non-GAAP financial measures, including results on an adjusted basis. We believe these financial measures can facilitate a more complete analysis and greater transparency into ICU Medical's ongoing results of operations, particularly when comparing underlying results from period to period. We've also included a reconciliation of these non-GAAP measures in today's release and provided as much detail as possible on any addendums that are added back. And with that, it is my pleasure to turn the call over to Vivek.
Vivek Jain: Thanks, John. Good afternoon, everybody, and we hope you are well. It's been a quick 90-or-so days since the last call, and our legacy ICU business unit revenues are on track in 2022, and we have now seen weekly improvements over the last 8 to 10 weeks through today in our operational performance for the businesses that came with Smiths Medical. The external economic volatility in the supply chain around freight and fuel that we've been describing for a while, hit its highest peak in Q2 for any time our team has been in the industry. However, the issues around raw material availability are narrowing, but still remain volatile. From a customer perspective, we felt hospital census was stable and underlying demand was good in all geographies. Like everyone in our industry, we want to first start by thanking all of our customers and their frontline workers for trusting us to serve you during these times. While Q2 revenues were generally in line with our previous comments for legacy ICU Medical, our results for Smiths Medical were again different from our original expectations. So we wanted to use the time on the call today, too. First, comment on the year-over-year drivers of the 3 main legacy ICU businesses, give an update of the current inflation in the market and how it has negatively impacted legacy ICU profits, which is really just about fuel, explain the Smiths Medical revenues we achieved in Q2 and bridge to how that fits with our comments on the last call, provide status update on the Smiths Medical businesses current challenges and opportunities in the 2 buckets we've highlighted on the last 2 calls, begin to talk about Smiths Medical revenues sequentially and describe what we think the next few quarters could look like in the individual segments to try to narrow the range of outcomes for the balance of this year. and lastly, to illustrate how we see revenue and profitability in the short and medium term, how we think about value. Q2 2022 was our second quarter of joint reporting and given some of the challenges on the Smiths Medical businesses and the current environment, it continues to be a bit of a longer story. I'll quickly summarize the whole company results and then discuss each segment of the business. We finished the quarter with $547 million in adjusted revenues, adjusted EBITDA came to $85 million and adjusted EPS was $1.37.  We again had a heavy quarter of investment into the business with inventory builds, et cetera, that Brian will describe. It was a less clean quarter as we're spending at a very high rate to improve the service levels of Smith medical, and we have restructuring integration costs, and we are focused on reducing those costs next year as they impact cash flow. The strong dollar in currency have also been a bit challenging. So let me start with legacy ICU Medical, which is a relatively straightforward story. The good story in Q2, legacy ICU had $324 million in revenue, which was growth of 6% on a constant currency basis and 4% reported. We again had good year-over-year growth in our most differentiated businesses with negligible covet impact and as previously discussed, have been normalizing our operations on a more predictable basis. There's nothing dramatically different on underlying demand from previous comments on a macro level. The public hospital companies validated our view on their recent calls that QE was decreasing in at least U.S. hospitals and electives were okay. Specifically, the legacy ICU businesses grew at 7% in the U.S. at 6% constant currency in international markets. So let's go to the business quickly and then come back to discuss the current environment.  Starting as usual with infusion consumables, which is our largest business, Infusion Consumables had revenues of $144 million, which was a 9% increase year-over-year on a constant currency basis and 6% reported. Growth was mostly driven specifically by core IV therapy and some specialty items in the U.S. again. In oncology, we've been a bit constrained due to some of the remaining raw material challenges that should abate by the end of this year. We have talked in the previous calls about feeling positive in the U.S. market and our growth product is setting up well as the rest of the world open, which is what happened. There's nothing new on our outlook here just to mention, the base in infusion consumables did materially step up in Q3 2021 due to pandemic ordering it is our largest IC OUS business, so currency impact is meaningful. Moving to Infusion Systems, which is primarily our LVP pumps and associated dedicated steps. This segment is $87 million in adjusted revenue, which has increased 5% on a constant currency basis or 3% reported. We did have a decent level of installs in Q2 and do expect a better back half of installs globally than we had in the back half of last year. It's still a bit bumpy on dedicated utilization that's been consistent, but we're focusing on selling a larger amount of hardware. I feel that the customer attention is back with bandwidth have real discussions and some of the fatigue from COVID is passing and the acceptance of inflation and future cost of nursing, et cetera, are being internalized. We still believe relative to our size, there's solid competitive opportunity, and we're focused on commercial execution here as of no change to any previous commentary on the. Finishing the segment discussion with Infusion Solutions, we had $80 million in adjusted revenues or an increase of 3% on a year-over-year basis both constant currency and reported. Capacity constraints here are easing. No additional comments on the revenue side here. The biggest issue for us is this segment has disproportionately absorbed the majority of inflation at legacy ICU, which dovetails with our comments on legacy ICU profits. The vast majority of unexpected inflation and earnings pressure relative to our view on 2022, legacy ICU profits is primarily about fuel and shipping costs and to a lesser degree, currency. Labor has been much more consistent this year and we budgeted those items properly. Yes, there's been some raw material surge pricing. But as we highlighted in the last few calls, these items are not so much more inherently valuable over the long term, particularly with aggregate demand below historical levels. We've talked about believing in the markets and with capacity increasing pricing -- when capacity increases, pricing should rationalize. So for us, it's about trying to run a stable and predictable operation in a normal environment to get price improvements where we can to try to illustrate to our customers and the need to have some of these cost index and to ultimately just ride it out, serve customers with a belief that supply and demand will balance over time.  But there is a longer-term tactical element to this in some of the businesses. We listened to the comments on price actions from the larger players in the industry, and we obviously support that. But we are also focused in the next round of contracting on how to separate the costing of some of these items. For example, our transportation and logistics costs should be separate items no different than airline seat and baggage fees or next day delivery. Given the historical margin structure of the health care industry and its historical negligible inflation, suppliers have never had to think this space. Okay. Let me move to the Smith businesses. First, talking about aggregate revenues and then how that fits broadly with the 2 buckets of issues we had in the last call, which did lead to a wider range of outcomes and on even a monthly basis in the first 2 quarters, and that has to be incorporated into the full year now, and then I'll give some updates on progress on the issues, et cetera. Starting with revenues, the Smiths Medical businesses contributed $223 million, with vascular access at $77 million infusion systems at $78 million in Vital Care at $68 million. So to try to make sense of this, we need to go back and compare this to our comments on the previous call and then talk about each of the segments individually. To make it extremely clear, while we did pick up a number of shipping days, we also had a number of setbacks in the first half of Q2, which caused us to have to make more distinct fulfillment choices based on customer need and availability.  Specifically, we had a number of down days due to reasons that are too detailed for this call, but at a generic level about the intersection of IT, product availability and operations. The net result of this was a fulfillment environment that was actually worse in the first half of Q2 versus even Q1. And so we did not get the full benefit of the additional days or claw back into the back orders. As a result, we had to prioritize fulfillment on the most critical and clinical items, which are dedicated Pom sets, which explains the sequential improvement in Smiths Medical infusion systems, but in the earlier part of the quarter, it came at the expense of the other segments. What obviously matters is where we are right now, and I'll get to that in a moment as it relates to the status of the challenges we've described with the short story being, it's better. We spend a lot of time -- we spent a lot of airtime on the last 2 calls, explaining these 2 buckets of issues, how we wound up here and how we're trying to solve them. So we'd rather just cut to the status of each. The first bucket of issues are around production and fulfillment operations. With regard to production, with the exception of a few items related to silicone availability, it can generally be said that the entire Smiths production network is producing at acceptable demand levels. We continue to work on securing the base of supply and in-sourcing the key high-margin disposable components with proper factory staffing levels. The fulfillment process, while still challenging, and as we said on the last call, was quickly becoming our main focal point has made progress since mid-May with June better than May, July better than June, et cetera. We still have bumps but on certain key IT systems issues, et cetera, it has been recently worse. From an expense perspective, we've been spending CarPlaunch to improve customer service levels with an ICU mindset. And with factories only getting to scale recently, there continues to be a huge hit to gross margin in the short term.  There's plenty of demand. None of this really has to do with product features. This is about cleaning up the self-inflicted harm and the basics of blocking and tackling with a good focus on operations. The second bucket of items we talked about were quality-related interruptions. And again, we previously described how we got here. Since the last call, we've made significant progress with communication to both customers and regulators on our view of a path forward and have made some significant decisions. Those decisions such as stopping sales for certain older generation products and committing to a deliberate and timely remediation plan have allowed us to begin supporting existing Med Fusion Syringe Pump customers in early Q3. We've also made progress in addressing the root causes of the warning letter received in late 2021. This part feels very similar to Hospira and our previous experience, and we have the right people who have been to the exact same experiences and our team is now fully embedded into the operation. As we said on the last call, the existence of a warning letter, while undesirable, is the regulatory agency trying to move the ball forward, and we talked about how these regulations give us the right to participate. We're making progress in solidifying the foundation and hope to be in a position where we can demonstrate further progress as soon as possible.  Again, regardless of where it appears on the P&L, we are spending heavily, so making progress here is extremely important. So now having updated the main 2 issues, let me come back to the segments and tie this back to short-term and longer-term profits and value. It's important to start describing the Smith segment sequentially as they will get folded into the legacy ICU segments in 2023. Given better production and fulfillment on Smiths dedicated pump sets and some of the other items, we can now see continued sequential growth for the foreseeable future in Smiths Infusion Systems segment.  Smith's Vascular Access is now getting more attention. And again, we would expect to see sequential growth here in the near term, but we need to commercially execute as Smith lost the focus on its market positions here. And lastly, material improvement in Smiths Vital Care probably will not be seen until Q4 after the other 2 segments. Vital Care is the most international segment of Smiths on a percentage basis and probably it was the most neglected but there are some valuable subsegments in there, going back to our previous comments on the original portfolio construction. If we add up what we think the Smiths business will do over the second half of 2022 and combine those with legacy ICU, we believe we'll be very close to exiting 2022 at the original $2.4 billion annual revenue run rate after taking some large pressure on currency. Operational performance is improving, but we're choosing to spend now in order to be healthier and more stable next year to improve profits. We believe we can earn $180 million to $200 million in adjusted EBITDA over the back half of '22, and that probably is a bit more Q4 weighted. Obviously, that implies a full year that is different than our original expectations, and that weighs heavily on us. But we did try to say after Q1 that the steeper ramp for the back half was tougher, there was a wider range of outcomes. And after what the situation was through mid-May, we knew we needed to be realistic. We also said that we are very focused on material sequential improvements for the year as each month goes by to make sure we have the right exit run rate heading into next year. To talk about revenue and profitability in the medium term and to simplify the numbers a bit, if we said we could have around $600 million in revenues in Q4 and approaching $100 million of EBITDA, that is basically where we thought we would have been towards the end of Q1 or early 2Q this year. So we have gotten knocked down a few quarters, which has been tough to deal with, and everyone competes in the same environment. But to that run rate, and to be clear, we're not making a call on exact timing of these items. We know that there are positives that exist. The biggest item is obviously revenue growth. But there are also spots, just like with the Hospira transaction, where we have negative margin situations and while not huge, they do make an impact. In addition to those 2 items, which we control, there are other things we control like the operational performance leading to all this expedited fulfillment. We are realistically spending over $25 million in 2022 on expedited fulfillment above base fuel rate increases through the year, and we need to bring this number down. And we control the remainder of our synergies, which don't come as quickly as the year on items, but we know we're out there. And while we don't technically control fuel costs, though we need to address the tactical item and how it should be incorporated to certain products over time, fuel increases in currency have probably been between $40 million to $50 million above our starting budget this year. I'm sure there'll be offset dis-synergies and other negatives in the future that we'll find, but there is a large self-help list that as we get more stable, we can start to work down. We'll skip the bookends feature today, but a number of those items are independent of revenue growth. And to close with tying that desired income statement back to value a bit, we have not talked about the aggregate positioning of the combined portfolio and its relevance for customers and their reactions. Yes, the situation is harder than we expected, but the customer logic continues to make sense. Like Hospira, we need to change the conversation from the historical perception to demonstrating our value through innovation and service. These portfolios make sense together, and we're working on how to integrate them either literally or economically when sensible. And we do believe more doors are being opened as a result of having a broader set of items that are mandatory for care, and we get that this needs to show up on the P&L to prove that value. For legacy ICU, our most differentiated businesses will end 2022 larger than ever with appropriate profitability levels. The core premise of the Smiths transaction is to enhance the product offerings for these exact categories that drive our returns as well as add logical adjacencies predicated on the same characteristics of sticky categories, low-capital intensity single-use disposables, opportunities to innovate and participation in a logical industry structure. Even though we're consumer base operations, we still believe this is to be the strategic case and the big opportunity over the long term is using the combined portfolio to improve in existing markets and also move as value shifts in a new spaces. The construction of the Smiths portfolio was logical and frankly, why it's survived over the years. The other part of value is maximizing the opportunity with each piece of the portfolio. We believe as we clean up and stabilize the operations, we could be presented with more opportunities here. But there's no change from the previous call and our near-term priorities are in their usual book and speech. While the pandemic introduced substantial volatility, strategically, we do think the weaknesses it has exposed and the health care supply chain add to the argument for all participants to be healthy and stable, which has been our commentary since we became a full-line supplier. Smiths Medical also produces essential items that require significant clinical training, hold manufacturing barriers and in general, items that customers do not want to switch unless they have to. The market needs miss medical to be a reliable supplier and the combination positions us better. Our company has emerged stronger from all the events of the last few years. We've gotten knocked down a bit, but we see the hill to run up again together with our new colleagues to drive value out of the combination. Thank you to all the customers, suppliers and frontline health care workers as we improve each day. Our company appreciates the role each of us has had to play. And with that, I'll turn it over to Brian.
Brian Bonnell: Thanks, Vivek, and good afternoon, everyone. To begin, I'll first walk down the P&L and discuss our results for the second quarter and then move on to cash flow and the balance sheet. Along the way, I'll provide our updated outlook for the full year for each of these areas. So starting with the revenue line.  Our second quarter 2022 GAAP revenue was $561 million compared to $322 million last year, which is up 74% on a reported basis reflecting the impact of the Smiths Medical acquisition, along with growth in the legacy ICU business. For your reference, the 2021 and 2022 adjusted revenue figures by business unit can be found on Slide #3 of the presentation. For the legacy ICU business, our adjusted revenue for the quarter was $324 million compared to $311 million last year, which is up 6% on a constant currency basis and 4% reported.  Infusion Consumables was up 9% constant currency and 6% reported. Infusion Systems was up 6% constant currency and 3% reported and IV Solutions was up 3% on both a constant currency and reported basis. Overall, we were pleased with the results of the legacy ICU businesses. The second quarter was the first full quarter of Smiths Medical under our ownership and the business contributed $223 million in revenue. As Vivek mentioned, this was less than we expected as the operational challenges we discussed on our last call have taken longer to address. However, over the course of the second quarter, revenue per billing day improved from April to May and May to June, and we expect this trend to continue for July as we finalize those results. The June revenues, when annualized, we're still not back to historical levels, but we have now seen multiple months of sequential improvement since the closing of the transaction. As you can see from the GAAP to non-GAAP reconciliation in the press release, for the second quarter, our adjusted gross margin for the combined company was 36%. This was lower than we had expected due to the impact of several specific items, which fall into a few distinct categories.  The first category is operational inefficiencies being driven by the current supply chain environment. Here, we saw a 2 percentage point impact to gross margin from a combination of the continued effect of lower manufacturing absorption from reduced volumes plus additional expenses related to air freights and other forms of expedited shipping to customers.  Most of this expense relates to the legacy Smiths Medical operations. The second category is higher market prices for freight and diesel as well as certain categories of raw materials. The higher freight rates were disproportionately driven by the legacy ICU solutions business while the higher raw material prices were spread more broadly. These higher freight and raw material costs reduced adjusted gross margin by approximately 3 percentage points. And the final category is foreign exchange, which had a 1 percentage point negative impact to adjusted gross margin for the quarter as a result of the strengthening U.S. dollar. As we consider the outlook for the remainder of the year, we believe we have the opportunity to improve on the first category of operational items as we continue to increase manufacturing output and improve customer fulfillment. But given our willingness to expedite shipments to ensure product availability for customers, along with the lag between manufacturing improvements and the cost recognition in the P&L, we don't expect a meaningful improvement to adjusted gross margin this year. As it relates to the categories of freight and raw material cost increases as well as FX, the outlook we have assumes current levels for the remainder of the year. Therefore, we expect second half as well as the full year adjusted gross margins to be in the range of 36% to 37%. Adjusted SG&A expense was $114 million in Q2, and adjusted R&D was $22 million. After adjusting the first quarter close timing of Smit Medical, total operating expenses in Q2 declined compared to Q1 by approximately $7 million from a combination of cost synergies and lower personnel costs.  Moving forward, we expect total adjusted operating expenses as a percentage of revenue to remain around Q2 levels for the remainder of the year. Restructuring, integration and strategic transaction expenses were $14 million in the second quarter and related primarily to integration of the Smiths Medical acquisition. Going forward, we expect restructuring, integration and strategic transaction expenses in each of Q3 and Q4 to be around the same level as Q2. Adjusted diluted earnings per share for the second quarter was $1.37 compared to $1.88 last year. The prior year results were favorably impacted by a lower tax rate due mostly to excess benefits from equity compensation, which contributed approximately $0.10. Basic and diluted shares outstanding for the quarter were $23.9 million. And finally, adjusted EBITDA for Q2 increased 27% to $85 million compared to $67 million last year. Now moving on to cash flow and the balance sheet. For the quarter, free cash flow was a net outflow of $86 million as there were a number of discrete items.  During our last 2 quarterly earnings calls, we said we would invest heavily this year into 3 key areas: the first was higher levels of inventory to bolster safety stock and allow for onboarding of new customers. Here, we invested $64 million in additional raw materials and finished goods inventory, most of which was related to the Smiths Medical product lines in order to protect our manufacturing operations from supply disruptions and to better serve customers. The second area was the integration of the Smiths Medical business. And as previously mentioned, we spent $14 million on restructuring and integration. And the third was quality improvement initiatives for Smiths Medical. And during the quarter, we spent $17 million on quality systems and product-related remediation work. Additionally, we spent $24 million on CapEx for general maintenance and capacity expansion at our facilities as well as placement of revenue-generating infusion pumps with customers outside of the U.S. And we continue to expect total CapEx spending in 2022 of approximately $100 million. In future quarters, we don't expect this same aggregate level of spending as inventory levels will stabilize. But we also don't anticipate meaningful cash flow generation for the remainder of 2022 as we will continue to invest in the Smiths Medical integration and quality system improvements.  And just to wrap up on the balance sheet, we finished the quarter with $1.7 billion of debt and $271 million of cash and investments. Given the results for the first half of the year, along with recent changes in the macro environment for freight expense, foreign exchange and interest rates, we are updating our full year guidance for adjusted EBITDA and adjusted EPS. For full year adjusted EBITDA, we are updating our previous guidance range of $450 million to $500 million to a range of $350 million to $370 million. For full year adjusted EPS, we are revising our prior guidance range of $9 to $10.50 per share to $6.20 to $6.80 per share. For modeling purposes, for the back half of the year, the adjusted EPS guidance assumes interest expense of $40 million, a non-GAAP tax rate of approximately 23% and diluted shares outstanding of . In summary, addressing the operational challenges of the Smiths Medical business in the current operating environment have knocked us back a few quarters. However, for the operational challenges, we saw a meaningful improvement in the back half of the second quarter. And as Vivek mentioned, this improvement gives us line of sight to exiting 2022 at a total company revenue run rate of close to $2.4 billion annually, which is consistent with our original pre-closing assumptions. The profitability of the business will remain constrained as we invest to repair the legacy Smiths Medical business and fulfillment to our customers and deal with the current macroeconomic pressures. But we remain convinced of the longer-term opportunity to improve the financial performance of the combined organization with the list of items under our control. Strategically, we have broadened our available markets and we're working to get all portions of the business on the same trajectory as legacy ICU. We look forward to providing updates on our progress during next quarter's earnings call. And with that, I'd like to turn the call over for any questions.
Operator: [Operator Instructions]. And our first question comes from Jayson Bedford with Raymond James.
Jayson Bedford: I guess few questions here. Did the back order increase in 2Q versus 1Q?
Vivek Jain: It did. Jason, you were a little bit choppy in there, different answer for different regions. The U.S. backorder actually has started to come down now. It's been longer to get the products. OUS back orders went up a little bit. Net-net, probably holding in the same place.
Jayson Bedford: Okay. And I think you described it, but just can you -- can you walk through the sequential decline in Smiths sales, if just normalize for a full 1Q?
Vivek Jain: If I set it right, Smiths infusion systems went up Q2 over Q1. Vascular Access went down, I think, $2 million sequentially. And Brian, do you have the vital care memory -- Vital Care was down, I think
Brian Bonnell: About the same amount as those four.
Vivek Jain: About the same as those 4. 4. So up in infusion systems in the down in the other 2 -- minimally down in vascular access. I'm just waiting for Brian to confirm the final care number.
Jayson Bedford: And is that demand or supply related?
Vivek Jain: No, that was -- we didn't ship as much of -- we didn't ship as Vital Care was too also. We didn't ship as much, Jason, we were focused on getting the dedicated pump sets out for the infusion business in legacy Smith, the first kind of essentially 4 or 5 weeks of the quarter. And we paid the price on those 2 items.  And that's why I'm saying sequentially now with the things that have happened, we can see and it still feels early to us, but I think we could say it, I think we feel like we can show consistent growth sequentially for a while now in the Smiths Pump segment. We could see that in kind of the medium-term avascular access, so we still got to execute better. And I think you won't see meaningful improvement in sequential on the third segment of Vital Care the end of this year, right? It sort of lasted bit less.
Jayson Bedford: And I think early on in the year, you talked about the potential contribution from the legacy business in the Smiths business. I'm just curious, within the $350 million to $370 million in the '22% EBITDA guide, what is the expected contribution from Smith?
Brian Bonnell: Jason, we can't -- it's hard -- now that we're almost 6 months into the integration, to really break that out between the 2 businesses on the earnings line. But clearly, the majority of that -- of the shortfall for the full year is related to the legacy Smith Medical business.
Vivek Jain: I mean I think Brian tried to directionally say, Jason, where you said there was 3 points on increased freight and raw material purchases and the majority of that -- not all, but the majority was on solutions. So you just took that percentage against the legacy ICU business, you can make some extrapolation. I don't want to paint a picture that's 100% all on it, right? Some of the inflation is in Transportation Solutions business.
Jayson Bedford: Okay. And then maybe last one, and then I'll give someone else a shot. You mentioned Medfusion and kind of the reintroduction of that product. I think you also mentioned you're serving current customers. Are there any restrictions in terms of your ability to fulfill demand there?
Vivek Jain: No. I mean, I think, again, we've reached the point where we feel solid and reliable on the testing that we've done. It's sort of our choice how we bring things into the market. I think we feel like the vast majority of -- given the history of the product, a huge portion of the market is holding the product, plenty for us to keep ourselves busy with and where people have experience with the technology, et cetera, we can remediate some of the stuff that's out there. on a timely basis. I think it's more we're starting there than anything else.
Operator: Our next question comes from Matthew Mishan with KeyBanc.
Matthew Mishan: Just the first question is for me. To get you to like the low end of your guidance of parial improvement, was something need to happen that is beyond your control for you to get to the low end? Or is that something where you could -- or is that a real outcome from on current levels of manufacturing?
Vivek Jain: I don't actually think right now, Matt, it's the manufacturing piece so much for the back half. It's all about fulfillment costs. And I think we've gotten burned certainly from January 6, which is January 6 to mid-May. We felt like we really, really got burned and we don't want to overestimate any rate of improvement here, right?  Yes, it's great. We've had 10 weeks that have gotten a lot better. It's still expensive in 10 weeks doesn't make a long-term trend. So I think we're just trying to be mindful of the journey we've put everybody through ourselves.
Matthew Mishan: I think that makes sense. And then last quarter, you've bucketed the quality issues around like a quarter in revenue. What does it mean in relative to that $16 million to be back to supporting existing customers?
Vivek Jain: It means a portion of that 15%, I think we feel like we can participate in now. Not all of that was related to just the common Inmet Fusion. So range are some other products in Vital Care, some other self-inflicted European quality holds, et cetera. But there is a portion of it that comes back online, that's where we're going.
Matthew Mishan: And then just if things do continue to get better, is there a hangover from like manufacturing absorption of the inventory that still needs to be worked through the P&L or things continue on a trajectory and you can actually see a better sequential improvement.
Vivek Jain: I mean, I'll go first and let Brian go. I mean the pain we're feeling right now is, right, if you make the product today, and your factory is not as productive, you feel that pain later when you sell that product. Right now, we're feeling the pain of unproductive factories in Q1 and in part of Q2, and if to the extent product was moving even from the fall of last year. Those factories are much more productive today and those products are just starting to make their way into the market. So we would -- minus whatever inflation labor, raw materials cost increases that have come through. We would certainly -- we're trying to be more efficient going forward, but I'll pause there and let Brian add.
Brian Bonnell: Yes. And Matt, maybe to your question, there is a little bit of a lag in -- between the actual operational improvements from a manufacturing standpoint and when you see those benefits come through the P&L, and that's -- can be 1.5 quarters or so before you see it.
Matthew Mishan: And I asked the question last quarter, this is the last one around how -- have you lost any customers? Do you get a sense of like if they're now happier with the overall process of remediation and moving forward with ICU and SMEs?
Vivek Jain: I think to give a very market-oriented answer would be where there was lots of multiple choice in the market, I think we do believe we've lost some share, and we need to turn that back very similar to some of the analogies we lived through in Hospira, where the products were maybe a little bit more limited into the market? Or were there were heavy capital outlays and people have equipment that's running fine where they just need a predictable disposal to shop, they've hung in there.  So it's a little bit of a different answer. If it's not related to a piece of capital equipment, it's truly a single-use disposable that has lots of choice in the market. at some point, brand matters less, if you can supply. There are spots where brand matters a lot, safety matters, quality matters a lot. And if it's correlated to hardware, it's even more sticky. So I think that my story, my opinion on this stuff for all participants, these products last and are a lot longer than anybody expected and are stickier than a lot longer than anybody expects, right? We've seen that in multiple versions of the story.
Operator: [Operator Instructions]. And our next question comes from Larry Solow with CJS Securities.
Lawrence Solow: Just a couple of quick follow-up questions. Maybe I'll ask in different way. On the -- I know it's hard to break out the legacy from Smith, the sort of $45 million to $50 million incremental impact of inflation from the start of the year that you guys called out, that's across the company, I assume not just legacy. Is that correct?
Vivek Jain: Yes. That's across the company, Larry. Sorry. That's what I was trying to say it...
Lawrence Solow: And then that that's okay ...
Vivek Jain: It was all.
Lawrence Solow: And then that $25 million is right -- and that $25 million of expedited freight would mostly be Smiths, right? Is that correct?
Vivek Jain: That's what -- correct.
Lawrence Solow: And that $25 million -- the $45 million to $50 million could eventually come down inflation comes down, but that's a number that's -- we can talk about it in a second, but I have a follow-up question on that. But the $25 million inevitably, if you -- if your fulfillment and production is optimized, then that number should really go to 0 inevitably, right?
Brian Bonnell: There's always some. We always have. There's something happening somewhere, right?
Lawrence Solow: Right. A few million may be under $10 million, certainly, right?
Brian Bonnell: Even in legacy ICU, you have a little bit of of that here and there. So I don't want to say it doesn't happen. But none of us are very superset like this. So basically, just to be super blood, if stuff can get on the water, again, and the forward networks get fully replenished. We're spending money now to try to get the forward networks fully replenished, so stuff can stop going in the air and can go on both and on opening up as we speak.
Lawrence Solow: Right. Yes, absolutely. And then what about just -- I know you mentioned you think you can exit the year kind of getting back to that sort of run rate on revenue or close to ex currency. Obviously, the margins will be lower for one, just because of expedited freight costs and whatnot. And then -- what about -- do you feel like you taking a step back from when you bought Smith to today, anything has really -- the structural things that you didn't realize were there? Or is it just more going to take longer time. And obviously, as you're going to have this higher inflation, other costs that maybe -- which is impacting not just your legacy business and many others, too.
Brian Bonnell: Yes. I mean there's a lot in that statement, Larry...
Lawrence Solow: So yes, my question is has anything really changed significantly? Or is it just more blocking and tackling? Are there some -- are there broken tackles here? I'm just trying to figure out because it seems like you talked about the business moving. This is a business that moves kind of slow and whatnot, but you're cutting guidance pretty dramatically from when we spoke in mid-May, right? So I'm just trying to...
Brian Bonnell: I think one, as it relates to -- we look back on the transaction, yes, we think it starts with revenues. And so getting the revenues -- and that's after currency, which has been really rough. So if you don't have the revenues in order, you can't get the profits. We think the revenues are getting in order here at each day and each week is getting better.  And so we think we'll be at Q4 where we should have been revenue-wise, not out of the box, but soon they're up. And from a profit perspective, somewhere where we thought we'd be 3 or 4 months into this. So yes, we got knocked down 7 or 8 months in this thing. But on the other hand, we have a much bigger book of business and many more synergy opportunities together across the network, where if we were stand-alone dealing with some of this inflation on ourselves, I think it would have been tough to find an equivalent amount of things to lay that off out of solutions to mitigate that. And so there are merits over time to being bigger here -- with [indiscernible] in the portfolio. And in terms of the guidance thing, again, back to the previous question, I think there's no reason to try to squeeze blood and marginally disappoint a customer here for the next 2 or 3 or 4 or 5 months, right? What we said is holding the share, serving people well and showing that we can fix this is more valuable than any, so that we can get the revenues there, serve the customers, run good factories, the costs, et cetera, will stabilize. And we have a long list of self-help items that we try to schedule out there in a lot of detail that add up to a big number if we can get after all of them as long as the customers are...
Lawrence Solow: Absolutely, absolute. And just lastly, you never want to squeeze your customer and obviously, there are certain situations where you can't. But just in terms of pricing, and you you've touched on it for several calls. But a big question you see most -- many industries, companies large market shares or such as yours are able to get price. I realize your businesses are mostly contracted, but so you spoke about contract talks and renegotiations for future contracts. Do you feel like you'll be able to get more price? And why can't you have some kind of a surcharge in there that covers fuel and other things like many other health care companies do that have contracted businesses that sort of helps you in periods like this?
Vivek Jain: I think I would say, Larry, we are exploring all options. There's no renegotiation of anything going on. I think we were trying to lay out at least our thinking about the way we believe the industry should maybe deconstruct value on some of these items because the historical way of doing business doesn't necessarily apply. And in the short term, certainly, we will -- we're paying attention to what the competitive set is out there, and we'll will follow the lead if given the opportunities.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Vivek Jain for any closing remarks. Please go ahead.
Vivek Jain: Thanks, folks. It's obviously been an interesting 6 months. We really appreciate everybody's interest in ICU, your patience. The situation is improving, and we look forward to updating you on our next call.
Operator: Thank you for attending today's presentation. You may now disconnect.